Operator: Good morning. Welcome to the Archrock First Quarter 2020 Conference Call. Your host for today's call is Megan Repine, Vice President of Investor Relations at Archrock. I will now turn the call over to Ms. Repine. You may begin.
Megan Repine: Thank you, Christine. Hello, everyone and thanks for joining us on today's call. With me today are Brad Childers, President and Chief Executive Officer of Archrock; and Doug Aron, Chief Financial Officer of Archrock. Yesterday Archrock released its financial and operating results for the first quarter of 2020. If you have not received a copy you can find the information on the company's website at www.archrock.com. During the call, we will make forward-looking statements within the meaning of Section 21E of the Securities and Exchange Act of 1934, based on our current beliefs and expectations as well as assumptions made by and information currently available to Archrock's management team. Although management believes that the expectations reflected in such forward-looking statements are reasonable, it can have no assurance that such expectations will prove to be correct. Please refer to our latest filings with the SEC for a list of factors that may cause actual results to differ materially from those in the forward-looking statements made during this call. In addition, our discussion today will reference certain non-GAAP financial measures, including adjusted EBITDA, gross margin, gross margin percentage and cash available for dividend. For reconciliations of these non-GAAP financial measures to our GAAP financial results, please see yesterday's press release and our Form 8-K furnished to the SEC. I'll now turn the call over to Brad to discuss Archrock's first quarter results and provide an update of our business.
Brad Childers: Thank you, Megan, and good morning. I appreciate everyone joining the call today. A lot has changed since our last quarterly earnings call. In response to the interest in COVID-19 pandemic and the resulting drop in commodity demand and prices, Archrock moved swiftly and decisively over the last several weeks to adjust our strategy, spending and action plan for 2020. Before addressing the current market and the company's plan, I don't want to miss the opportunity to discuss our solid first quarter performance, which highlights several of the significant operational strengths we will leverage in this market. We had outstanding execution in the quarter, driven by our high-quality asset and customer base and our excellent customer service and dedicated employees. Among the accomplishments in the quarter, we grew adjusted EBITDA by 24% as compared to the prior year period. We continue to transform and standardize the fleet, with additional non-core asset sales totaling 35,000 horsepower. We maximize the performance in our contract operations segment delivering a 19% year-over-year increase in gross margin. We maintained excellent financial flexibility, including substantial liquidity and reduced our leverage to 4.0 times, 4.05 times. And as always, we've prioritized the safety and well-being of our employees, customers and communities. We took appropriate steps early in the COVID-19 pandemic to minimize risks of exposure and community spread of the virus. I'm pleased to report that, we have maintained full capabilities and our operations continued and continue without interruption. On our fourth quarter conference call, I emphasized that in my time with Archrock our fleet has never been younger and our competitive position has never been better. This is evidenced in the company's first quarter performance. And while the road ahead is much different than we expected coming into the year, I'm confident, we're prepared for success in the face of these challenges. We entered 2020 expecting a slowdown in the annual natural gas production growth rate with declines materializing in the second half of the year. Since then the COVID-19 pandemic has driven severe demand destruction in a very short period of time particularly for oil. Given the resulting price declines and widespread capital reductions by producers and midstreamers, we too are now planning for more significant declines in associated natural gas production for the balance of this year and into 2021. In the next few months, it's also likely that some producers will temporarily shut in uneconomic loans as storage constraints further hamper oil prices. On the natural gas demand side, the near-term outlook has also softened driven primarily by a sharp decrease in COVID-19-related industrial demand. Even though demand will be of record highs from earlier in the year the summer season should still benefit from solid levels of exports to Mexico and LNG demand both of which are expected to be up year-over-year. In longer term, we remain optimistic that as a low-cost and cleaner burning fuel, natural gas will experience healthy growth in demand and in turn U.S. natural gas production will resume. We believe these supportive fundamentals will hold even in the event of a prolonged oil price challenge. The exact magnitude of the downturn as well as the shape of recovery is unknown today. Just as we've done in the past, we'll manage through this environment by differentiating the performance that our more stable compression businesses can deliver drawing on our leadership team's deep experience and keeping our employees engaged. As we do so, we'll remain focused on the following. Providing exceptional service to our customers, retaining our technical expertise, driving free cash flow generation and preserving long-term value for our shareholders and maintaining our opportunity set for eventual recovery. With these guiding principles, we've taken the following actions to-date, which translate into annualized cash savings of between $75 million and $85 million. We've further reduced our planned 2020 capital expenditures to between $140 million and $170 million. At the midpoint, that's a reduction of 60% compared to 2019 capital expenditures of $385 million. Of this our growth capital is now anticipated to be between $70 million and $90 million. At the midpoint, this represents a reduction of $220 million compared to 2019 growth capital expenditures. About $49 million in growth CapEx was spent during the first quarter and 90% of the units to be acquired in 2020 are already contracted with customers. We completed a business unit reorganization, as we saw an opportunity to streamline our organizational structure and better align our teams for maximum customer service and profitability. This included the rationalization of headcount at the executive and senior leadership levels. Now we are taking further steps to align our corporate cost structure with the current environment. This includes deep cuts to discretionary spending as well as compensation adjustments. The executive management team and the Board of Directors have voluntarily agreed to a reduction in base salaries and retainer fees, with retainer fees for the members of the Board to be reduced by 25%, my base salary by 25% and the executive management team's base salaries being reduced by 10%. We're also implementing temporary decreases in employee base salaries of between 5% and 10% with no expected change for employees, below a targeted compensation threshold. For hourly employees, we're optimizing labor efficiency, including a significant reduction in overtime hours. We recently declared a dividend of $0.145 per share, $0.58 annualized unchanged from last quarter and a 10% increase compared to the first quarter of 2019. Turning to our operations. In contract operations, first quarter results reflect our leading position in the U.S. compression industry. With our focus on large horsepower units deployed in midstream applications, our first quarter exit utilization was flat sequentially at 89%. And we drove an increase in contract operations' gross margin to 62% in the fourth quarter up 300 basis points versus the first quarter of 2019. As we move through the year, absent a material rebound in commodity prices, we would expect to see top line pressures from both horsepower and pricing declines. However, we are working closely with our customers to develop solutions to mitigate equipment returns and long-term price reductions. In addition, a significant portion of our operating costs are variable. This enables rapid adjustments to changing market conditions, while still meeting the needs of our customers. This puts us in a good position to hold and maintain margin at attractive levels. Moving on to our aftermarket services business. Customers are still delaying maintenance activity on their equipment. And in some cases, they're using internal resources to perform work they have historically outsourced. That said, first quarter revenue and margin comparisons were favorable compared to the fourth quarter of 2019. As I've emphasized in the past, compression maintenance cannot be deferred indefinitely and we expect an uptick in this business when the environment improves. Meanwhile, we remain focused on optimizing gross margins through this challenging period. Our capital allocation framework remains focused on balancing appropriate levels of investments, leverage and return of capital to shareholders through commodity cycles. We invested significantly in our fleet over the past three years to meet the needs of our customers, participate in the significant infrastructure buildup required to support the 20%-plus growth in natural gas demand and production and capture the attractive investment opportunities carried by the market. Our updated 2020 capital and adjusted EBITDA guidance continues to support free cash flow generation. And we're adjusting our capital allocation to reflect what we expect to be a meaningful reduction in investment required to meet our customers' compression needs and to adjust to a market with infrastructure that should be mostly sufficient to support natural gas production for the next few years. As a result, we've shifted our capital allocation priorities given today's environment as follows: First, we believe having a reliable and attractive dividend is important to our investors, and the value of our company. We will continue to prioritize shareholder returns even during this downturn. And as we always do, we'll work with our Board each quarter to assess our forward views of future cash flows and the dividend. Our second priority is debt reduction. We will execute all available measures to reduce our debt and protect our strong financial position. Finally, as we de-emphasize growth through the downturn, we expect capital investment to be a distant third priority. I can assure you, we remain prepared operationally and financially to resume improved growth from high-return investments once customer demand returns. Before turning the call over to Doug, I want to share why I'm so grateful to be entering this downturn from Archrock's unique position of strength. We provide much run services. Compression is a critical part of the midstream value chain bringing natural gas from production to end markets. We typically enter into multi-year contracts for our compression services. These are fee-based with no direct commodity or volumetric exposure. We've worked diligently over the past several years to create a modern diverse and scalable fleet. We've aligned ourselves with great customers and will preserve these strong relationships during this challenging period. And we also have a solid liquidity position with no need for external financing and a business that we expect to and will manage to generate free cash flow. These factors combined with our production-related business model will help mitigate the impacts of this downturn. And finally, we've assembled an experienced management team. We know what it will take to navigate this downturn successfully. And as we've demonstrated in the past we will emerge from this challenging time even stronger. With that, I'd like to turn the call over to Doug for a review of our first quarter performance and our updated 2020 guidance.
Doug Aron: Thanks Brad and good morning. Let's look at the summary of first quarter results and then cover our updated guidance. First quarter revenues totaled $250 million, reflecting an increase of 6% compared to the prior year period. Adjusted EBITDA of $113 million was up 24% over the first quarter of 2019 and was driven by horsepower and pricing increases in our contract operations segment, as well as cost management across all segments. The first quarter results included $4 million in gains related to the sale of assets. We recorded a net loss for the first quarter of 2020 of $61 million, which included several one-time charges, the majority of which were non-cash impairments. Adjusting for these items, we reported significant year-over-year growth in net income. In the first quarter, we reduced the goodwill balance related to our acquisition of Elite Compression to zero. We recorded a goodwill impairment of $100 million in light of the significant deterioration in macroeconomic conditions caused by the COVID-19 pandemic. We booked a tax benefit on the entire non-recurring goodwill impairment charge of $23 million during the first quarter of 2020. Also in the first quarter, we conducted an extensive review of our fleet and identified compression units that were either not likely to go back to work or did not warrant additional investment to be put back in the field. From this review, we decided to retire 23,000 operating horsepower and recorded a $6 million long-lived asset impairment. Finally, we took a $2 million restructuring charge, primarily related to severance benefits. Turning to our business segments. In contract operations, revenue and gross margin dollars were relatively flat compared to the prior quarter and were up meaningfully on an annual basis. We had record revenue of $207 million, up 13% from the first quarter of 2019. This increase, as compared to the prior year, resulted from higher operating horsepower and pricing. We delivered gross margin in contract operations of $128 million, up from $108 million in the prior year, as we focused on aggressive cost management. First quarter gross margin percentage of 62% was up 300 basis points from the prior year quarter. In our aftermarket services segment, we reported first quarter 2020 revenue of $43 million, up 3% compared to the fourth quarter of 2019, but below the $54 million in the prior year first quarter. Gross margins continue to hold up well, considering revenue pressures. First quarter AMS gross margin of 18% was up from 15% in the fourth quarter of 2019 and flat year-over-year. SG&A was unchanged compared to the prior quarter at $31 million and was up from $29 million from the prior year period, the year-over-year increase primarily related to our ongoing technology investments. For the first quarter, growth capital expenditures totaled $49 million and will represent the highest quarter of investment for the year. Maintenance and other CapEx for the first quarter of 2020 was $23 million, equal to the fourth quarter of 2019. We expect lower levels of investment for the balance of the year. On April 1, we successfully repaid all $350 million of our senior notes due 2022 with our revolving credit facility. We maintained significant financial flexibility with liquidity totaling $410 million after taking into account the 2022 senior notes redemption. Our borrowing base is well collateralized and we continue to receive great support from our lenders. On our bond indentures, we got ahead of the multi-year wave of energy debt refinancings, which will now likely come at a much higher cost of capital. With the $1 billion in maturities we pushed out next -- pushed out last year, our next maturity is now not until 2027. Our total debt of $1.8 billion was effectively unchanged compared to the fourth quarter. Our leverage ratio of 4.05 times was down from 4.4 times from the first quarter of 2019. As Brad mentioned, the leverage continues to be a primary focus for Archrock and we expect to allocate 2020 free cash flow to absolute debt reduction this year. However, with anticipated declines in EBITDA, our leverage ratio is anticipated to expand modestly on a go-forward basis. While our 3.5 to 4 times leverage target remains a goal for the company, given our updated outlook, we no longer anticipate being able to achieve this by the end of 2020. We recently declared a first quarter dividend of $0.145 per share or $0.58 on an annualized basis, unchanged from the prior quarter and reflecting an increase of 10% over the prior year. Our dividend payout is supported by our internal cash generation, strong balance sheet and robust dividend coverage. Cash available for the dividend for the first quarter of 2020 totaled $62 million, leading to strong first quarter dividend coverage of 2.8 times. Our existing dividend still represents a compelling yield of 13% based on yesterday's closing price. We remain committed to returning cash to shareholders and to reducing our debt from available free cash flow. I'll end with our updated 2020 guidance, which includes our best estimate, based on what we know today of the COVID-19 pandemic and the commodity price decline impacts. We now expect 2020 adjusted EBITDA in the range of $380 million to $420 million. Although, down from our prior guidance of $415 million to $450 million, the updated range highlights the resiliency of our business. Based on our view of the market today, we are optimistic we can deliver adjusted EBITDA above the midpoint of this range. And perhaps closer to the higher end, yet are cognizant of the possibility of rapidly changing market conditions that could impair our current view. In contract operations we anticipate the largest impacts will occur, beginning in the second half of the year, as productions decline from budget cuts materialize. As Brad commented earlier, we are working to mitigate impacts with aggressive cost management. In AMS we've lowered our expectations for the year, as our customers have further delayed, releasing their budgets for maintenance work. Turning to capital, on a full year basis we now expect total capital expenditures of $140 million to $170 million. Of this, we expect growth CapEx to total between $70 million and $90 million, down 11% from the prior guidance midpoint. Deliveries of new equipment will largely wrap-up by midyear. And we will have additional spending flexibility, moving into 2021. We also anticipate maintenance capital savings, as we redeploy fewer units to the field. Finally, as it relates to our multiyear technology project, this remains critical to our future success. That said we are prioritizing 2020 work streams. And plan to rationalize and defer some of those costs, until 2021. Importantly, given our current operating outlook and reduced CapEx profile, we remain well positioned to generate free cash flow as we have done in prior downturns. And with that, operator we'd now like to open up the line for questions.
Question-and:
Operator: Thank you. [Operator Instructions] Thank you. Our first question comes from the line of TJ Schultz with RBC. Please proceed with your question.
TJ Schultz: Great, Brad. Good morning. I think first, you mentioned working with customers to mitigate some of the returns and permanent price reductions. If you can just give a little color on what you've seen so far, on returns. And what are some options you have with customers to mitigate some of those returns. Thanks.
Brad Childers: Sure. Thanks, TJ. Well, look, number one, you guys have heard us say this in the past, compression compared to other parts of the upstream in particular has a lag time look. And so, what we typically see happening upstream, we get to see for a couple of quarters before it impacts us. And that gives us a little bit of time to work with our customers, on their production side. That said it's still pretty early, in the going of this of the downturn for us. And so, the discussions with customers for us, we're only a quarter really into it are still in very early stages and very preliminary. And it's also the case that, I have the opportunity to share with you we have a great customer base. The largest customers in the upstream space the midstream space are those that we service. And that puts us in I think an enviable position to work with them, to make sure that we have a partnership we help meet their needs. But with the large horsepower and solutions that we've put in with our customers, these are very expensive to relocate, they don't want to see the change. And so the business can be very sticky and so we work with them long-term to try to keep the horsepower available for them when they don't need it immediately, without removing it from site. And so moving to standby becomes an option, for some of those larger installations and that's the way the tone and tenor of the discussion is working with our customers right now. And again, it's early going in this cycle, so that's about as far as we've seen in the dialogue with our customers yet.
TJ Schultz: Okay. On the revised EBITDA guidance, I guess, two things there. If you can kind of frame, how you thought about utilization trending through the year into that guidance. And then, on some of the cost savings, if you could just break out that $75 million to $85 million, if that includes CapEx. And what's coming out of OpEx and SG&A. And how much of that is captured in the EBITDA guidance. Thanks.
Brad Childers: Sure. Look, I'll take the market part of the question. And Doug will talk a little bit about our cost-savings initiatives. But when we look at the market, number one, it's early going. None of us know and we don't want to get over our skis and ascertain we know more than we do, in the shape duration of the downturn or the timing and shape of the recovery. But we all are looking at very similar estimates. We're staying close to our customers. And what we see in the marketplace has, oil production declines in 2020 and 2021, in the 10% and 13% range, from 1 million barrels per day perspective 10% to 13%. And gas production more in the kind of 5% decline, plus or minus over the 2020 and 2021 timeframe. And it's against those benchmarks and that forecast that, we're basing our demand for compression which is basically proportional, if you want to think about it that way. So that's a framework for what we see from a demand perspective in the market. And the good news of this is that, when you think about a 10% decline in oil or 5% plus or minus decline in natural gas. And then transposing that overall the compression business, these are not the types of declines that other businesses will be participating in, in the energy space. So we feel really good about the fact that when we think about those production levels, that our business is levered to production. And that puts us in a strong place to continue to generate good earnings. And strong free cash flow. Let me ask Doug to talk about cost savings.
Doug Aron: Sure. So there's – we, kind of, look at this two ways TJ, and I don't want to turn this into a total modeling call. But there's a -- we've got what we expect for 2020 and I'm thinking about that on an annualized basis. And so I'll cover the annualized piece. Maybe you follow-up with Megan for 2020 specific, but generally think about that as sort of 8/12 of the annualized number. So we're showing about $21 million to $33 million of savings in our contract compression, OpEx business about $10 million of SG&A savings, $18 million to $23 million of savings from our growth CapEx, about $19 million of savings in maintenance, and then about $5 million of savings in other to get to that $75 million to $85 million range.
TJ Schultz: Perfect. Got it. Thank you very much.
Doug Aron: Thank you.
Operator: Our next question comes from the line of Daniel Burke with Johnson Rice. Please proceed with your question.
Daniel Burke: Yeah, thanks. Good morning guys.
Brad Childers: Morning.
Daniel Burke: Let's see, let's see. Sorry to stick with a question that's got some grounding in the model, but I was just curious. Doug you alluded to contract ops seeing the largest impact in the second half of the year. I assume that's a gross margin-focused comments. And -- but I was curious in terms of horsepower and releases, do you anticipate that Q2 would be the heaviest quarter, or is it going to -- or is it hard to see? Is it possible heavier releases could be forthcoming out into Q3?
Brad Childers: Hey, Daniel it's Brad. I'll take that one. It's hard to see. Right now our customers are still working through their production forecasts and impacts especially beyond what we expect could be some very short-term shut-ins in the second quarter. And the duration of those shut-ins, which are very market-driven and immediate, the expectations from lots of the customers is that they're going to be temporary. They just don't have an estimate on the time frame. So number one, the fact that it's early going; number two, the fact that we expect some short-term shut-ins and the duration is unclear; and then in a downturn visibility is always slightly impaired. Those factors make it more challenging to see where the sub-activity will be the heaviest in the year. So I don't mean to be evasive, but that's the visibility we have into it right now.
Daniel Burke: Okay, got it. And then Brad I was wondering, if you could talk a little bit about maybe the benefits of having a decent amount of horsepower in what I think was still the primary term just given the heavy growth spend over the last couple of years. And I guess all contracts and all -- maybe all options are on the table with all customers, but can you talk a little bit about the benefit you might have from primary term contracts this year and whether that extends into 2021?
Brad Childers: Sure. At any one time and right now we have about 40% of our horsepower that is under contract with a term that exceeds 12 months and some of it out two years, some of it out three years. And so those contracts, the other part of that goes with it is it's a business that has integrity of the contract structure with our customers. And so we find that that gives a good stability to that portion of the revenue through the contract term. Beyond that, Daniel, as you've heard me say in the past, just remember this business is also very sticky in particular at the large horsepower range. And so not only does the contract structure keep the horsepower out on location and working with our customers on a term and a contract basis. Beyond that when they go month-to-month especially with the size of horsepower we predominantly operate, we find the business is very sticky. Customers who want to keep the horsepower out there as long as it is operationally suitable, rightsized and economics for them. And so that builds in that incremental stickiness in addition to the longer term contract nature of our business.
Daniel Burke: Got it. And then maybe just a quick final one. Not sure the standby count will be sufficient or meaningful enough to be material, but in terms of margin impact of standby, is it accretive to the gross margins we typically think about when we look at the margin projection for this year?
Brad Childers: It's not. It's neither dilutive nor accretive. A couple of thoughts on that. We don't expect that the amount of horsepower that moves to standby will be material to the overall amount of horsepower we operate. It's not insignificant, but it will not be material. Second, we have a pricing structure where we work with our customers. Look they need us most when they're suffering and they can't generate revenues when they need us to step up. And so we put in place reduced rates and we also are able to take out a lot of variable costs. And so the combination of the amount not being material to the fleet and our ability to take variable costs out really promptly together with the rate modifications during the standby period with our customers means that I don't expect it to be dilutive or accretive to gross margin. And in fact that's the principle with, which we used to structure it. We're not trying to take advantage of customers who can't produce. We also do not want to take a financial hit because of their upstream needs.
Daniel Burke: Got it. Make sense. Appreciate that. Thanks for the time.
Brad Childers: You bet. Thank you.
Operator: [Operator Instructions] Thank you. Our next question comes from the line of Thomas Curran with B. Riley FBR. Please proceed with your question.
Thomas Curran: Good morning.
Brad Childers: Good morning.
Thomas Curran: Brad and Doug, regarding the technology modernization program, have there been any changes in the estimated 2020 budget of $16 million and/or completion timing of early 2021? And then which of that program's initiatives would you expect to be most beneficial in this current down cycle, and then looking out longer term in the next up cycle?
Brad Childers: Look let me talk about the benefits of the project first, and I'll ask Doug to help me out on the numbers. But I'll give you my take on the question. So first and foremost, it's a great project for us. It is going to enable better efficiency in the way we manage labor in the field, manage labor attachment and connection to our units the supply chain behind that as well as migrate our ERP into the cloud. So those are the major steps of the project that we're still very excited about. That said this is a period where we're rationalizing all of our cost expenses and especially discretionary investments. And so we have pushed some activities into 2021 and that equates to a couple of million bucks of investment moving from 2020 into 2021 to support the project. And where we expect to get the biggest bang for our buck, however, we have not slowed down that investment and that is in expanding our communications and telemetry capabilities throughout our operational structure in the field. That investment is proceeding at pace that we do expect to complete within the 2021 timeframe still. And that's I think the part of the investment that's going to give us the biggest bang for our buck. We do expect to start to see benefits from this investment in the 2021 timeframe. And because it's cost-focused, it's just one of those projects that we think is even in a downturn going to give us great returns in a short-term basis. So we're still happy with how it's proceeding even if we're deferring a component of it into the 2021 timeframe.
Doug Aron: Yes. I think, Brad covered really most of it including the deferral of some of the costs. Tom, I think, the only thing I heard in the question was I'm not sure we had ever, sort of, envisioned a completion of the project in the first quarter of 2021. And there will continue to be I would say both money spent through most of 2021. And then honestly we would expect the benefits to -- as Brad mentioned some do accrue in 2021 and then the majority of those now probably looking more towards 2022 and beyond.
Thomas Curran: Okay, Doug. Any estimates on how the remaining spending would break down between 2020 and 2021?
Doug Aron: Yes. We've got about $4 million of CapEx and $6 million of SG&A was the 2019 number. So comparatively for 2020 about $7.6 million of CapEx and same about $6 million of SG&A, and then for 2021 we go to $7.3 million of CapEx and $4.3 million of SG&A.
Thomas Curran: Great. Very helpful comprehensive update from both of you on that. Turning to the revised growth CapEx budget of $70 million to $90 million, it sounds as if with that lower budget you're expecting to take delivery now of new units totaling between 70,000 and 100,000 horsepower. Is that -- would you correct or clarify that -- or confirm or clarify that? And then please tell us how those deliveries should be deployed over the year in terms of quarterly timing where they're headed and the nature of the demand for them.
Doug Aron: Yes, absolutely. So look you're -- I think you hit it spot on. Probably closer to about 80,000 horsepower, I think, is sort of the number we have in our mind. We've taken -- we should say in past tense as you saw we spent almost $50 million in the first quarter. And really that was driven by customer orders and needs for units that have already gone out and started in almost all cases. As we mentioned in the prepared remarks, 90% of our units are already under firm contracts. So the remainder of the year, I would say is likely to be ratable although frankly there's a little bit of a moving target there as our sales team is working a bit with our customers. Obviously, this is a more fluid market than normal. But again 50 of that 80 already out and earning revenue for us. Tom was there a second part of that question?
Thomas Curran: Just wanted to try to understand where they're headed geographically.
Doug Aron: That's right. Yes. Predominantly that was to the Permian. And again those were orders that were placed a year in advance. So that's where the majority or even the vast majority went of what we had expected for this year. Again some of that could change given the new market dynamic. But for now that's, I think, Megan unless we have new information that's still where most of that horsepower went.
Thomas Curran: Got. Thanks for taking my questions.
Doug Aron: Thank you.
Operator: Our next question comes from the line of Kyle May with Capital One. Please proceed with your question.
Kyle May: Good morning. 
Doug Aron: Good morning. 
Kyle May: I wanted to follow-up on -- hey, Brad good to chat with you. I wanted to follow up on the discussion around capital allocation and thoughts about the distribution. And apologies if this is already covered, but since the distribution was held flat in the first quarter and you've already had kind of a long-term goal through this year to increase the distribution 10% to 15% on an annual basis just wondering your latest thoughts around the distribution policy for the balance of this year and potentially going forward into next year.
Doug Aron: Yes. Kyle, fair question and one that obviously we wish we had an easy and very visible answer to you. I think as I mentioned in my remarks, let's start with the leverage target. I can assure you having achieved 4.05 at the end of the first quarter and knowing we were well on our way to our longer-term goal is met with more than a little bit of frustration by Brad and I and frankly the rest of the management team the Board and the guys that are out there doing the work every day. To say that this is a black swan event probably doesn't do that justice. And so timing on that has been deferred. And I think frankly while – thinking about raising our dividend at that 10% to 15% is just not likely a prudent action in this market and not something that we would be likely to do. Obviously, maintaining extraordinary coverage is something that we will do easily. We will continue to generate significant free cash flow pre- and post-dividend in 2020 certainly. And while we're not in a position yet to give guidance for 2021, I would call it a near certainty that we will be significantly free cash flow positive in 2021 as well, which should be supportive of continuing with a competitive dividend program and with paying down significant portions of our debt. Obviously the Board, as all public companies say will evaluate that quarterly. No different for us our Board and management team will evaluate it quarterly. But specifically to the 10% to 15% increase, it just doesn't feel prudent in this market. So I hope that's helpful in giving you some clarity on where we see the next several quarters.
Kyle May: Absolutely. That makes a lot of sense. And then the last one for me, I was wondering if you could talk a little bit more around your assumptions for the revised guidance in the contract ops business, maybe a little bit more detail around utilization trends through the year, pricing. I realize you also covered a lot on the variable costs. So any additional color would be great.
Doug Aron: So look, I mean I think you can use history as a little bit of a guide for you and look at the last downturn where our utilization peak to trough was 89 to – down to about 79%, which I think bottomed in the fourth quarter of 2016 or maybe early 2017 Kyle. Since then our fleet has gotten younger. We've continued to sell assets that we see as non-core. And so again it's – there's not maybe the level of clarity we'd love to be able to see and predict to what that is. But if you look at our guidance range for EBITDA as I mentioned, we're still hopeful to perform at better than the midpoint for the year. That would indicate utilization is certainly hanging in there for 2020 and beyond.
Kyle May: Okay. Got it. And I guess one of the things that we've talked about in the past is the rate of change for the utilization in the last downturn. While it was maybe erratic from one quarter to the next, it was pretty steady around 1% declining each quarter over that time period. Do you have any idea about maybe the rate of change this time if it may be more quick, or do you think it could be similar to what we saw in the last cycle?
Brad Childers: Yes, Kyle. This is Brad. Look I don't think we have enough visibility to compare this downturn yet to the prior downturn. I think your assumption is right by the way. In the prior downturn we lost I don't know – 9% was the decline and it did happen ratably over a period of quarters. If the decline is much sharper it also could be the recovery is much sharper. But we're really not in a position with visibility to speak to that. So I don't want to kind of assert a perception that we just – that the data doesn't support or the forecasts don't yet support. But what I would emphasize is that when we look back at actual utilization including the prior downturn, we had two quarters below 80%. And the vast bulk of this business for the last seven years has operated in the mid-80s or higher at 80% range in utilization over the past seven years. And since then and through that period of time we have taken steps to drastically improve the competitive position of this fleet. That includes age as Doug mentioned, the size of horsepower, the location in the field and the customers that we provide it to. And so while I never want actually a downturn to test how well we've done it. I believe that this business, this fleet is positioned to endure this better than we did the prior downturn. Although the scope – the shape of the downturn is to be determined I feel really good about the position that this fleet has in the marketplace to endure and perform as well as possible in this downturn. And that includes this in our forecast maintaining really good margins in the guidance range that we gave you as well as good utilization to support it.
Kyle May: Got it. That’s very helpful. All right. That’s all for me. Thanks for the additional information.
Brad Childers: Sure. Thanks.
Doug Aron: Thanks, Scott.
Operator: We have reached the end of the question-and-answer session. Mr. Childers I would now like to turn the floor back over to you for closing comments.
Brad Childers: Great. Thanks operator. Look, thank you everyone. We appreciate your interest in Archrock and Archrock's performance. Our operating momentum continues. Our financial position remains sound. I'm confident we have the right team in place to preserve value through this downturn, manage exceptionally well and emerge as a stronger company on the other side. Thank you and I look forward to talking to you in next quarter's call.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.